Operator: Good morning, and welcome to the Diversicare Healthcare Services Third Quarter Conference Call. Today's call is being recorded. I would like to remind everyone that in addition to historical information, certain comments made during this conference call will be forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. And these statements involve risks and uncertainties that may cause actual events, results and/or performances to differ materially from those indicated by such statements. You are encouraged to review the risk factors and forward-looking statement disclosures on the company -- that the company has provided in its annual report on Form 10-K for the fiscal year ended December 31, 2012, as well as in its public filings with the Securities and Exchange Commission. During today's call, references may be made to non-GAAP financial measures. Investors are encouraged to review those non-GAAP financial measures and the reconciliation of those measures to the comparable GAAP results in our press release furnished under Form 8-K. I would now like to turn the call over to Kelly Gill, the President and Chief Executive Officer.
Kelly J. Gill: Good morning. Thank you, operator, and thanks to all of you for joining our call today. Also with me is our Chief Financial Officer, Jay McKnight, who will provide some financial details later in the call. This quarter marks the 1 year anniversary of having Jay and Leslie Campbell, our Chief Operating Officer, joining me as the leadership for the company. I'd like to start by acknowledging everything we have accomplished to-date. As we discuss our results for the quarter, I want to put those results in the context of all the changes we've made in 1 year to adjust to challenges the company has faced historically. Most notably and in a relatively short period of time, we've taken bold steps to reduce our exposure to professional liability risk by divesting 12 facilities in a difficult state. To accomplish this, we added 11 facilities or 1,391 beds. This is roughly the equivalent bed capacity of the Arkansas group, thereby repositioning our portfolio geographically with increased revenue and earnings per bed. Not only did we accomplish this, but we also concurrently expanded our financial capacity with our banking group and established an additional relationship with Aviv REIT. And I want to thank them for their support and confidence in us. Likewise, we've enjoyed a long-standing relationship with Omega Health Investors and the strength of our relationship continues to build. I also want to publicly thank Omega for their support in constructively assisting us in transitioning the Arkansas facilities to another capable provider in the state. We are extremely honored to enjoy a mutually rewarding relationship with our strategic partners, not only with Omega and Aviv, but also with our banking partners led by The PrivateBank in Chicago. None of this could have been possible without Jay and Leslie's leadership and all of the hard work of Diversicare's 6,000 employees in all the states in which we operate, and I want to recognize them as well today. As I discuss our third quarter, I also want to point out that all of these changes have yet to be reflected in our reported results, and moreover, that some continue to be works in progress. So I want to first give a status update on the strategic steps we've taken and how they impacted the quarter. To begin, we completed the disposition of our remaining Arkansas facilities at the beginning of September, and the operating results of those facilities are classified as discontinued operations for both the 2013 and 2012 third quarters. We also filed an 8-K that includes revised first half results for this year and all of 2010, '11 and '12, excluding those facilities. I think the most notable revision is to our professional liability expense, of which Arkansas made up a disproportional amount. As you will note, over 50% of our PL losses over the past 3 years were localized in our Arkansas facilities, which represented roughly 25% of our facility portfolio. Jay will touch on this further in his prepared remarks, but suffice it to say that I believe our ongoing PL expense will be far more manageable than in the past. Moving on to portfolio additions. During the quarter, we began operations at Seneca Place in Louisville, Kentucky, and that facility contributed roughly $1.3 million in revenues for 2 months. We incurred certain integration costs related to this facility as well, such that it operated at breakeven in the quarter. And I'll touch on these expenses in the broader context of our results as well. Additionally, as October 1, we completed our previously announced transaction with Aviv REIT to assume the operations of 4 facilities from Catholic Health Partners. While obviously there are no revenue and earnings associated with these facilities in our Q3 results, we, nonetheless, incurred some expenses in the quarter to close the transaction. In any event, I want to give you a sense of the trajectory we're on for executing on our strategic plan. The 4 CHP facilities consist of 3 facilities in Ohio and 1 in Indiana. Thus, we have expanded by 3 facilities in Ohio, entered Indiana, a new state in our expanding footprint, and similarly expanded our presence on the Indiana side of the Louisville market. Along with Seneca Place, we've now added 2 new facilities to the Louisville market in just the past 2 months. Seneca and the CHP facilities generate more than $40 million in annual revenue and will fully contribute to our results for all of the 3 months of Q4. Finally, while we completed our acquisition of 5 facilities in Kansas during the first half of this year, our activities at these facilities had an impact on our reported results. At the top line, we had a measurable amount of bed capacity offline during the quarter as we undertake renovations. While these activities notably affected our Q3 revenues, and moreover, entailed incremental operating expenses, these efforts are nonetheless progressing nicely, and we expect them to be fully completed by the end of the year. I also mentioned the Kansas acquisition because, as part of that transaction, we refinanced and expanded our line of credit, adding new financing partners and expanding our financial flexibility to continue pursuing the kind of portfolio expansion opportunities we've completed thus far. So overall, Diversicare is a decidedly different company than when we embarked upon our strategic plan 4 years ago. I believe we've demonstrated our ability to plan and execute on a number of significant steps to transform the company's internal operating capacity and to create a portfolio of facilities that has a much more attractive geographical footprint, risk profile and growth opportunities. We continue to have a lot of work to do in integration and renovations, but I view us as now playing offense with our portfolio, not defense. And of course, we are currently pursuing additional pipeline opportunities to create additional scale. Our overarching goal is to double the size of the company over the next 5 years through a combination of organic initiatives and pipeline development, and I don't believe these goals would be realistic without the steps we've taken so far. Now turning to our results. As I mentioned, the third quarter doesn't reflect the operations of our entire portfolio as it exists today. The quarter was impacted by our integration activities, divesture of an entire state and our ongoing strategic growth initiatives. But these items notwithstanding, we are pleased that our revenue grew by almost 14% in the quarter, which is reflective of our recent acquisition activities. We did get a meaningful contribution from acquired and newer facilities. Our new properties that weren't part of our portfolio last year contributed about $7 million of the $8.5 million in year-over-year growth for the quarter while the new facilities we opened earlier in 2012 continued to grow. On a same-store basis, we did see some revenue contraction due to -- primarily to lower patient census and skilled mix. This reflects the continuation of the same kind of utilization environment we saw through the first half of this year in the acute care space. However, we remain focused on our marketing efforts and are continually looking for new and inventive ways to partner with our local acute partners. We also believe that our EMR system gives us distinct advantages to be able to demonstrate positive, cost-effective outcomes. We continue to build upon and seek new clinical care programs to distinguish ourselves from our competition in the new era of accountable care and health reform. To be sure, however, we haven't seen the full top line benefit of our acquisitions, most notably the latest acquisitions of Seneca Place and CHP. Additionally, as I mentioned, we had beds offline in Kansas during the quarter related to renovations. This, and the combination -- or the combined effect of utilization trends, the impact of sequestration on our Medicare pricing, the regulatory impact on Part B revenue and our own integration activities, certainly impacted our revenue this quarter. Facility level contribution margin was $12.7 million for the quarter compared to $13.1 million last year. Again, though, we incurred incremental cost during the quarter versus revenue generation of both our Kansas facilities and at Seneca Place, which diluted our total contribution margins. Our G&A cost trends look favorable. We are pleased to see that our general administrative expenses as percent of revenue decreased by 40 basis points, so we continue to generate operating leverage over our G&A costs. And as I mentioned earlier, our professional liability expenses, which now exclude those costs associated with our Arkansas facilities, remained roughly unchanged at about $1.4 million, significantly lower than the amounts we were incurring in the past. So overall, this was a very difficult operating quarter, but our results also reflected our own integration activities, and moreover, did not include the full contribution of all the additions we've made to our portfolio. I'll reiterate that from a broader standpoint, I believe this portfolio is now positioned much more favorably than in the past in terms of growth opportunities, risk management and profit potential. Most importantly, we remain focused on the execution of operational performance to drive improved shareholder value in the future. I'll now turn the call over to Jay to give some more financial details of the quarter. I'll also come back to these points before we move to Q&A. With that, I'll turn the call over to Jay.
James Reed McKnight: Thank you, Kelly. I first want to walk through our disposition of the Arkansas facilities and then I'll discuss the drivers of our revenue and expense comparisons to the third quarter of last year. Finally, I'll discuss the adjustment items we reported for this year's third quarter to bridge our reported EBITDA, net income and earnings per share to our adjusted metrics. You'll find in yesterday's press release tables reconciling non-GAAP financial measures to their closest GAAP measurements. Top line, our reported revenue increased by $8.5 million, or 13.8%, to $70.4 million. Of this increase, our recently acquired Kansas facilities contributed $5.8 million in the quarter and Seneca Place contributed $1.3 million for the 2 months during the quarter that we operated it. Three facilities we opened or acquired during 2012, Highlands Place, Clinton and Rose Terrace, also contributed $4.5 million in incremental revenue over last year's third quarter. These facilities demonstrate our ability to successfully enter new markets and add incremental revenue to the business without a material addition to our overhead cost structure. As the operations of each of these facilities mature, we expect to see more contribution to revenue and earnings from each. Against this growth from new facilities, our same-store revenues were pressured by declines of both occupancy and skilled mix that were roughly $2.5 million lower than last year. From a pricing standpoint, our average Medicaid rate increase was 3.1% so it was a positive contributor to revenues. Our average Medicare rate increase was much smaller 0.5% impacted by the sequestration reductions enacted earlier this year. As Kelly mentioned, we had bed capacity offline at our Kansas facilities during the quarter as a result of our renovation efforts. Also, our top line results for the quarter included Seneca Place for only 2 months, while the 4 facilities we assumed operations of from CHP didn't come on stream until October 1 but will be reflected in our Q4 results. The operating expense line, our overall expense increased by $8.9 million or 18% compared to last year. Included in this expense were costs related to integration activities at both Kansas facilities and at Seneca Place, which aren't technically onetime in nature but that we nonetheless view as transient as we incorporate those facilities fully into our operating infrastructure. Professional liability expense for the continued operations was $1.4 million, relatively unchanged from last year. As you'll be able to see in the 8-K we filed related to the disposition of our Arkansas facilities, those centers bore a disproportionate share of our historical reported PL expense. More specifically, while Arkansas contributed roughly 20% of our revenues for the first half of 2013, they contributed a much more significant 51% of our PL cost for the same period. This disproportionate cost structure was a large driver in our decision to exit the state. G&A expense increased by $440,000 to $6.1 million from last year. As a percent of revenues, however, G&A expense decreased from 9.1% to 8.7%, demonstrating the continued operating leverage we're generating against our corporate infrastructure. Finally, lease expense increased 11% to $5.3 million, reflecting the additional lease costs associated with the newly added facilities in Kentucky, Highlands for a full quarter and Seneca Place for 2 months. Interest expense also increased by roughly $300,000 to $1 million resulting from the refinancing and expansion of our credit facility associated with the Kansas acquisition earlier this year. On adjusted basis, which excludes restructuring costs related to our Arkansas disposition, EBITDA for the quarter was $236,000 compared to $2.2 million in the third quarter of 2012. For the quarter, net loss attributable to shareholders was $4.9 million or $0.83 per share compared to a net loss of $82,000 or $0.01 a share last year. On an adjusted basis, we reported a net loss of $4.1 million or $0.70 per share compared to income of $433,000 last year. The current year loss includes the loss from discontinued operations of $2.3 million, so the portion attributable to continued operations was $1.8 million loss for the quarter. At the end of the quarter, we had just begun billing Medicare for our new Kansas operations, the wait for which resulted in a temporary buildup in related receivables. We are now billing all payers for Kansas and expect the receivables for these facilities to be in line with our company norms by the end of 2013. At the end of the fourth quarter, we expect to be working through a similar process for the CHP and Seneca Place facilities, and we'll provide a status update then. At the end of the quarter, our balance sheet reflected cash of $3.4 million compared to $5.9 million at the end of the December 2012 quarter, with total working capital of $8.9 million compared to $15.7 million. At this time, I'll turn the call back over to Kelly.
Kelly J. Gill: Thanks, Jay. As I've said, this was a period of change and transitions, which was reflected our results. It's imperative though to put our results in the broader context of our strategic direction. Over the past year, we have strived to make the correct long-term decisions for Diversicare and we've taken significant strides to reposition the company. Due to timing, the full impact of these strides was not fully reflected in these results. To put our current profile in the right context, I'll point out that versus the $70 million in revenue we reported in the third quarter, we'll have an incremental growth of roughly $10 million coming online in Q4 as the CHP facilities contribute and Seneca Place is in for the full period. So loosely speaking, we're now operating a portfolio of more than $300 million in annual revenues. Even taking into consideration the loss of the Arkansas revenue, this is comparable to this time last year, but with a vastly improved risk profile. This portfolio remains a work in progress in terms of our operational activities to drive optimal financial results and excellent quality of care for those we serve. With so many facilities having been added recently, our income statement continues to reflect incremental operating expenses related to our integration activities and revenue limitations related to renovations. So from a strategic standpoint, we are heavily focused on completing those activities with the mindset that this is not an amalgamation of facilities across several states, but an integrated operating platform. And notwithstanding the broader market environment, I believe we have a clear path to sustainable profitability and organic growth across this platform. There are revenue opportunities from our renovation activities, both in terms of incremental capacity coming online and market share gains as we operate newly upgraded centers. There are cost opportunities as well as we undertake and complete our integration efforts. As always, we are excited about the expansion opportunities as we continue to pursue our pipeline of potential new acquisitions and continue to add scale. As I said earlier, I believe we're now paying -- playing offense with this portfolio rather than playing defense. This includes our viewpoint of managing our portfolio and cost structure towards profitability and continually improving our clinical care delivery systems to thrive under the current and evolving environment. And should we see an improvement in broader industry utilization trends, we'll be optimally positioned to realize even greater leverage to our profitability as a result. Finally, as I mentioned briefly, we have a 5-year strategic goal of doubling the size of our company through a combination of organic growth initiatives and acquisitions. I frankly don't believe we could have contemplated such a goal prior to taking the strategic steps we have in developing our operating infrastructure and repositioning our existing portfolio as we have done thus far. I want to conclude our comments today by once again thanking our dedicated Diversicare professionals for their many contributions to our organization, and most importantly, for the loving and compassionate care they provide to those we have the honor to serve. So with that, I want to thank you for your time, and we'll now open the call to questions.
Operator: [Operator Instructions] The first question is from Will Settle of Woodmont.
Will Edwards Settle - Woodmont Investment Counsel, LLC: Thanks for lots of detail in the Q, and there's some detail there I'm trying to understand. Maybe help me -- when you talk about newly acquired facilities and then, of course, we reference sometimes the facilities acquired in 2012. I'm just trying to understand what was the third quarter negative impacts from acquired facilities, and more specifically, the most recently acquired facilities. But I guess, some that -- if you want to talk about some that are technically in the same-store base and maybe give me some color around that and how they're performing, that would be helpful too. I mean, I saw some of the numbers, but I'm just trying to make sure I'm looking at it right. So if you could just boil that down for me, that'd be great.
James Reed McKnight: Will, it's Jay, good morning. Thanks for calling in this morning. I think a good place to start on that is if we look at the adjusted EBITDA table that we have that was provided in the press release, you can see there's some new facility start-up negative EBITDA of $115,000, that would be the amount that would be kind of highlighted as a loss if you're looking at just the incremental impact of those facilities. I do believe we've broken down the revenue for you pretty succinctly for all the readers as far as the incremental growth that we experienced from Highlands, Rose Terrace and the Clinton facility. And then we have the new facility that just came on, Seneca Place, which was on for 2 months in the quarter, that contributed $1.3 million and as Kelly spoke to was basically breakeven, and then the Kansas facility is that we broke out the revenue from that. As far as getting a whole lot more granular than that, that's kind of our disclosure level. Please do remember in the Kansas facilities, we had some renovations going on and we had some integration costs related to Kansas and Seneca. One thing that I will highlight for you is we also -- even though we didn't begin the CHP facilities until October 1, we did have some expense related to onboarding and bringing those facilities on. And we talked about some of the acquisitions related costs in the press release, that was about $123,000 of highlighted costs there.
Will Edwards Settle - Woodmont Investment Counsel, LLC: I guess, in the Q -- and I appreciate you giving the revenue associated with the facilities. When you talk about this quarter versus last -- this time last year, you have Kansas contributing $5.8 million of revenues; new Louisville [ph] acquisition, $1.3 million; you've mentioned West Virginia, $1.3 million; Clinton, $800,000. Overall, well, [ph] $2.4 million, so I get $11.6 million. Then you talk about an operating expense increase from acquired facilities of $9.3 million, so I'm trying to understand what is -- obviously, that didn't contribute $2 million-plus of operating income because you've referenced the drag, but I'm -- what's the apples-to-apples comparison? So what revenue goes with this $9.3 million of OpEx increase from acquired facilities? So should I back out the -- assume I back out the West Virginia and the Global [ph], which gets me to $9.2 million or actually $7.9 million? So is the comparison of newly acquired $7.9 million revenue versus $9.3 million. It looks like an apples-and-oranges. I'm just trying to get the apples.
James Reed McKnight: No, it is a bit apples-to-oranges, you're right. And we'll add -- I mean, I hope you understand, you're asking a really detailed technical question there that I'm working through and looking, reviewing our disclosure. What we do talk about is the growth in the revenue, we don't go out -- we don't continue to go back and give a revenue for each of our facilities. That's something that we can definitely look at and see how we can provide more color and clarification on that in the future.
Will Edwards Settle - Woodmont Investment Counsel, LLC: So I'll tell you why I'm asking, I was encouraged to see this in the Q where you said that you expect the newly acquired, again, I'm kind of a little confused as to what's newly acquired, but you expect it to be accretive for 2013. So if I'm trying to make an apples-to-apples comparison, the number is $7.9 million in the third quarter versus $9.3 million, but you expect it to be accretive, so obviously we're going to see a lot of improvement in the fourth quarter. So I'm just trying to -- so what is it that will be accretive?
James Reed McKnight: So when we're speaking to what we expect to accretive, we're talking about -- when we say newly acquired, we're talking about the Highlands facility, Rose Terrace and Clinton which have been growing. We've incurred significant start-up losses related to those as they were both brought in, in 2012, the Kansas facilities and CHP. So that's something that we will do a better job clarifying next time around.
Will Edwards Settle - Woodmont Investment Counsel, LLC: Well, actually one more real quick before I get back and see if anybody else wants to ask questions. On the EBITDA -- the minimum EBITDA in the Q of $5 million minimum adjusted EBITDA, but if you -- in the press release, the adjusted EBITDA you give is $2.5 million. What are the banks looking at that you don't put into the ...
James Reed McKnight: The bank has a formula, and the -- and please forgive me for not giving you all the specifics of it right off the top of my head. The bank has a formula for adjusted EBITDA that is in our bank documents which have been filed with the SEC. Those have been with some of our previous filings, and we can help you get to those if you need to. That is a formula of how they look at adjusted EBITDA. And so the covenants reset whenever we did our refinancing in May, so the covenants that they're looking at is for the second and third fiscal quarters of 2013, and then it continues to be a cumulative build in the covenants going forward.
Will Edwards Settle - Woodmont Investment Counsel, LLC: And then maybe for Kelly, just kind of more strategic question. Kelly, you mentioned this goal of doubling the size of the company, and obviously, that would entail a lot of -- lots more acquisitions. Just speak to your comfort level of -- and how aggressive you're willing to be when -- as evidenced by the numbers, we still have not seen the fruits of these past acquisitions just yet.
Kelly J. Gill: Sure. Well, first of all, good morning, Will. It's good to talk to you. So with the growth, let me go, take everyone on the call today -- let me take everyone back over the comments I've made in previous calls. As we've added facilities along the way and I've articulated out all the variety of avenues available to us for growth, first of all, we have demonstrated our ability to execute on those transactions really across the primary 3 avenues available to us. So as illustration of Rose Terrace, a brand new de novo facility coming out of the ground leveraging the purchasing power of the development, we have a lease on that property today with a favorable purchase option on that facility. So that would be an excellent illustration of the avenues that continue to be available to us. Likewise, as evidenced with our Kansas, fee-simple acquisition, leveraging available cash on hand to make outright acquisitions. And then, finally here with the demonstrated leases that we've done -- we've been able to enter into with Highlands, Seneca, CHP, and again, to remind everyone that those acquisitions do not require the use of any growth capital to secure those leases. We certainly have to bear the cost of the operating -- the working capital as we go through the channel process and those kinds of things. So with that, certainly with the leases, that gives us every confidence to believe that we can continue to grow our base and the quality of our earnings. That's once again why I focused on the quality of our relationships with Omega and Aviv, supported by our high-quality banking relationships. And so as we continue to grow and evolve through leasing certainly, we will take every opportunity to continue to execute on fee-simple acquisitions as those opportunities are presented to us. And likewise, opportunistically, where we believe we can add new developed facilities to keep our portfolio as fresh as possible, we'll look for new de novo creation of facilities along the way.
Will Edwards Settle - Woodmont Investment Counsel, LLC: I understand that people who own real estate are looking for operators to run it. If I'm just -- in terms of being as aggressive as you've been, I'm just looking for kind of insider perspective or something that says, "Hey, we're good at this," or "Hey, look at these acquisitions we've made and look at what they're contributing now." Can you speak to one of your facilities and your experience, maybe where occupancy was, where you've taken it, where the EBITDAR was and where is it now? That's a pretty long list at this point, some which going back well over a year that you've developed or acquired and that we're still kind of waiting for the contribution, but you all are still plugging ahead with this aggressive acquisition program.
Kelly J. Gill: Well, I actually appreciate that question, Will, because if you look at -- going back, first of all, why we don't call out financial performance and earnings on specific buildings, I can first of all say that in terms of -- to your question of we're good at it, we've brought the newest facility in probably a decade to market in the state of West Virginia, beautiful state-of-the-art facility that we led the design and worked with the developer to get that facility out of the ground, got it certified and it's now open and enjoying roughly 30% skilled mix. And that is a fantastic facility for us and that floor plan serves as a prototype for future development. So I would say that is an excellent illustration. I would also turn to now our Highlands facility in Louisville, a facility that has undergone renovations after we took it over, and I've articulated that in previous calls. Those renovations -- or at least the first phase anyway is complete, and that facility now is performing above our original pro forma expectations and we're just thrilled with that facility. So then, turning slightly to answer your question about once again being good at this. For over 2 years now, we have talked about the investments that we've made into our operating platform, and those investments continue to just amaze us as to the capability of our operating platform. For example, our ability to bring on a new facility from a system integration standpoint is what I like to refer to is light switch capable, meaning, that every major system and operating system in our company all operates in a common fashion on our IT backbone, and so that when we connect to a new facility and bring our circuits live with them, literally as fast as a lift of the light switch, all our systems come live inside of those centers. We're getting increasingly good at those integration, given the timing that not only we bring our initial operating systems live, but also the subsequent events and timing of implementation of EMR. That timing is being shown at our Seneca facility with the speed at which we're bringing EMR live there. I would also point out that all of Kansas is fully integrated through every application that we offer including EMR. So we do believe that we have incredible scalability with our platform. We don't see any limitations to that other than the obvious support structure that would be required to run those centers incrementally. And so that we have every reason to have confidence that we can support our growth moving forward.
Will Edwards Settle - Woodmont Investment Counsel, LLC: That is encouraging about the skilled mix in West Virginia. What is the occupancy of that facility?
Kelly J. Gill: It hovers -- with a high skilled mix, you obviously have a lot of admissions and discharges appropriately to home when you provide the high level of clinical care that we do. It's a highly recuperative clinical environment. And so with that, we're also very proud that our overall occupancy just hovers right below 90%.
Will Edwards Settle - Woodmont Investment Counsel, LLC: So when you talk about West Virginia doing -- one -- contributing $1.3 million in the quarter, so $5.2 million roughly annualized, is that when you were looking at this and modeling this out a few years ago, that's better than you had expected -- have expected or in line? Because I remember, that was like about an $11 million or $12 million facility.
James Reed McKnight: Well, that's $1.3 million of incremental revenue growth over the same quarter of last year. That was...
Will Edwards Settle - Woodmont Investment Counsel, LLC: That makes more sense.
James Reed McKnight: That pre-dates me as far as what projection was given. If you'll humor us, we'll go back, and I'll look at that projection and kind of dust that off and make sure that I'll see what was shared and we'll be able to comment to that later.
Operator: I would now like to turn the conference back to Kelly Gill for any further remarks.
Kelly J. Gill: Thank you, operator. We'll go ahead and conclude our comments today. I want to thank everyone for joining our call today, and we look forward to talking to you again for fourth quarter results. Thank you, all. Bye bye.